Tapio Kuula: Okay. Thank you, and good afternoon to everyone. I am here together with our CFO, Juha Laaksonen. And I hope that all of you have material available so that we are ready to start. And I start from Page Number 3, key events and highlights, and one of those key events is really the strategy work which we have done and as we and as many of you heard about our new strategy, which we actually published in our Capital Markets Day, 16th of September. We can also say that one highlight of the period is clearly improve business environment, and from Fortum, we can certainly say that our solid performance continued. Now, we produced 87% of our power production in European Union, which was CO2-free, which was a bit less than it was last year, but still very high figures. And then on next page, there is really summary about Fortum’s mission and strategy as we publish those, really the mission underlines our target to improve life for present and future generation with sustainable solutions and especially paying attention to low emissions, resource efficiency, and energy supply security, and always remembering our duty to deliver value to our shareholders. We can say that our strategy really have three major areas, one can say, cornerstones. One is leverage the strong Nordic core in all of our power and heat businesses. Then the second one is to create solid earnings growth from Russia, and the third one is really to look a bit further for the future and to build platform for future growth. And I think that we have excellent opportunities in all of these three areas. And of course, we built our strategy based on our special competencies especially CO2-free nuclear, hydro and energy efficient CHP production, and of course using all competencies and experiences in operating competitive energy markets, especially Nord Pool. And it’s obvious that, that we built our strategy based on our competencies and industry beliefs, and in that respect, as you can see from Page 5, we have two strong platforms for existing business to develop that further but for progress as well, the Nordic power wholesale and heat market as well as Russian power and heat market. And we believe that competitiveness is really the key for long-term value creation. So, we don’t believe that one should, and Fortum is not aiming to build significantly our businesses based on subsidies. We are ready to, and we tend to be competitive in open, well-functioning competitive markets. One area which we believe that will give us also opportunities is integration European-wide energy markets and that will also gradually decrease the weight of Nordic power and Nordic power price, and of course also in this development, we are aiming to leverage our competencies in nuclear, hydro and CHP, and looking those industrial restructuring opportunities, which will apply. We, in general, see that the Fortum is strong, and we see more attractive growth opportunities in generation, both in power and heat generation, but electricity solutions, which is electricity sales in practice and distribution, they are important part of our Nordic scope. Improved business environment, as I said, was really one of the key highlights, and that for example, Nordic power consumption went up by 3% during the third quarter, and now we are on the level of 388 terawatt hours, which is less than 3% to go to the level of 2008, 397 terawatt hours. In Russia, the power consumption increased even a bit more about 5% during the third quarter, and also we could see really clearly positive price development, up by 34%. Also, we would see increased spot prices in Nordic areas, probably one reason also being tightening hydro pressure wash [ph]. On Page 7, we can see comparable operating being close to the last year’s figure, a bit lower. One reason being lower hydro volumes in power and also a bit lower achieved power price. Improvement in Russia, Distribution and Heat business and Swedish currency translation effect was positive EUR70 million. Earnings per share developed clearly positively. They were EUR0.18 higher than last year and of course one reason was non-recurring items, about four times bigger than last year, and in that sense, of course, these doesn’t come without effort. So, we can also be very satisfied with the organization’s effort in this area. Net cash flow from operations were lower than last year and now EUR1.2 billion, last year being more than EUR1.8 billion, and Juha will come back to that, and of course, the Swedish Krona is the main reason for that in our balance sheet. Solid performance, you can really see the differences between different businesses on Page 8, and as you can see, really the biggest difference is clearly in power division. There is positive development, as said, in heat, distribution and Russia. Increased power consumption on Page 9, you can see that especially a positive development was in Finland, in Nordic area. During the third quarter, Finnish industry used 13% more electricity than last year. Overall, in Nordic, we were consuming about 4%, close to 4% more electricity than last year. In Russia, as said, the overall general figure is 5%, but in Chelyabinsk, the increase was clearly bigger, which is the heavy metal industry and mining area. In Tyumen which is oil and gas production area, the volume seem to be about the same as last year, which means that also the electricity consumption was on the same level. On Page 10, you can see Nordic water reservoirs and of course, now I think that they give pretty much the right picture, because the amount of snow is very limited, and the delta between the current level and the statistical average is about 70 [ph] terawatt hours, and when the annual hydropower production in Nordic area is about 200 terawatt hours, you can see that this delta is quite significant. On Page 11, you can see the commodity prices and the history comparing in currencies the figures to last year, and you can see increase in practice with all fuel prices. The CO2 price is above at the same level as that used to be last year. Price development on Page 12, which I think that is interesting to see. First, if we look at the left-hand side, blue picture we can see that really the Nord Pool price during the quarter three this year and last year improved significantly from 31% to 46%, 47%. Fortum achieved power price, as I said, went slightly down by 6%, still being before the Nord Pool is spot price, but not at all as much as we used to be last year. And on the right-hand side, we can see that spot price development in Russia, as already said, the development between third quarter is 34%, and also the regulated electricity price went up exactly as predicted, 15%. But of course, today, the regulated power price doesn’t play anymore so big problem. And now, we will go to different businesses, and to financial figures, Juha. Please continue.
Juha Laaksonen: Thank you, Tapio. Good afternoon, ladies and gentlemen, I will briefly comment on the segments and then, income statement, cash flow, balance sheet, etcetera. On Page 14, Power. Our biggest division made a good result, but during the first three quarters, about 100 million less than last year, and of course, we had a little bit lower achieved Nordic power price, especially in the third quarter, which was EUR3 less than the previous year, which is about 33 million mechanistically calculated in the profit. We had discontinued [ph] work in the Swedish associate nuclear companies in maintaining and upgrading these nuclear reactors, which has caused a lot of volume, and of course, increased cost in those reactors. So, even though, the volumes were up about 1.3 terawatt hours during the first three quarters, it was basically condensing volume in the winter and then a bit nuclear, and that's why the product power generation mix also was not as advantaged as it was a year before, and that’s the main reason for the comparable operating profit coming down. In the Heat division and segment, both electricity and heat volumes were up, and that of course paid in the comparable operating profit, and this of course is natural because we have taken new plants into operation, and we will have again a couple of plants at the end of this year. On top of that one, we enjoyed a good winter with high demand. Distribution increased results, mainly – this mainly for two reasons, there was clearly higher volumes because of demand, and the stronger Swedish Krona affected about EUR11 million or EUR10 million in the first three quarters. Electricity sales, which had an almost disastrous first quarter, its very difficult circumstances have improved since then, third quarter was quite good and now also cumulative in this division or segment is in positive EBIT number. Relatively low in Fortum’s context, but it’s good to see that this has improved. We will have in the future lower turnover in this segment, because we have been and are restructuring the business market segment. So, some of the very lower margin turnover will go away from this division in the future. Russia improved, but it’s still a bit negative, minus 9 million after three quarters. Of course, third quarter as such is a very low quarter in this division with significant heat production. And even though we had highest spot prices, we had lower capacity prices, for the old capacity, about 10% down, and these both affected the results. On top of that one, the efficiency improvements still were not that big to release the total result is positive, but improvement there. Of course, we have now informed of the accelerating investment program. We estimate that all the new – seven new plants would be in operation before the end of or at the end of 2014, which is a heavy task, as such, because delivering so many plants at a reasonably short timeframe is an effort to be done. On Page 19, quickly on the comparable and reported operating profit. If you look at nine-month numbers, you see heat, distribution, and Russia reported operating profit better, and those are all from capital gains. For interests in Russia, the biggest thing was this capital gain from the from the St. Petersburg sales company sale. We have been cleaning the assets in Russia. And basically, every time we saw something, we get to capital gains. Income statement on Page 20, nothing extraordinary there. Financial, of course, down from last quarter, the third quarter and also for the first three quarters, basically interest rates coming down. Income tax expense, if you eliminate the effect of profit from associates and capital gains was on the third quarter 18.8 and 19.3 on three quarters going back. And the last 12 months, EPS is now EUR1.66, and of course is a nice number. On to cash flow, on Page 21, as Tapio mentioned, the financial items and Forex gains and losses is now a bit negative, while it was a bit positive last year and this difference between the three years is actually the most, the biggest thing, I would say decrease of the total net cash from operating activities line, which is still good, working capital performance was good. And as I have previously many times discussed, this Forex loss fees are coming from the finance, hedging the financing, rolling over the financing hedges in the Swedish denominated – Swedish Krona denominated debt that we use in financing of our Swedish assets. So, whenever Swedish Krona appreciates, we get positive, when it depreciates – sorry, when it appreciates, we get a negative and when it depreciates, we get a positive and it’s vice versa on the income statement. If you look at the capital expenditure line, we have now 700 of the three quarters. Our guidance for the year is still about 1.4, but that means that we have to have a big (inaudible) of CapEx in the last quarter and remains to be seen. It might be a question of days of how do we book these when assembled, and might go to next year. Page 22, key ratios, EBITDA around 2.5; net debt up 200 million, mainly because of the Krona; net debt/EBITDA 2.7, a bit lower than our target. If you, just to remind, after Capital Markets Day, we also revised our net debt/EBITDA target at approximately 3, and so we are clearly inside of our target. And finally, on Page 23, the debt maturity profile. Once more, it's very small, around EUR500 million. The next, end of this year and next three years, and of course, this year’s EUR500 million payment has already been financed to the Swedish bond team that we declared some weeks ago. Average rate, interest rate was 3.3%, and portion of fixed debt has a bit increased to 38% during the quarter. All in all, financing the liquidity in an extraordinarily good situation. Tapio?
Tapio Kuula: Okay, thank you, Juha. Then we continue from Page 25, which indicates, illustrates both fuel and CO2 allowance prices or how does market see those, and we see no big surprises, no big volatility, but some positive price development as expected from the market. Next page is about Nord Pool forwards, and also, I would say that they seem to be very, very stable, increasing gradually so that year 2015 is above other years, year 2014 being on the next level. Then Page 27, which is our hedging status, the rest of the year 2010, now the volume is we have hedged 80%, which is the same as it used to be. Last time, the hedge price is EUR1 higher than it used be. 2011, the price is the same EUR44 per megawatt hour, but we have increased our hedge ratio by 10% being now 70%. And now, this is the first time when we publish 2012, and the hedge ratio is 35%, and the price EUR43 per megawatt hour. And on the next page, you can see, estimated start of supply for new power and heat plants. We are starting commercial operations in Czestochowa, in Poland; and in Parnu, in Estonia. And as we normally do, we are doing upgrades with our hydropower plants, roughly by 20 to 30 megawatt hours annually in Finland and in Sweden altogether. And then, we will start the commercial operations in Russia, with the first three units during the first and second quarter next year. We have said that now we talk about starting commercial operations and we hope that this is the more clear picture, the financial – to calculate and analyze financial consequences as well before we were talking about commissioning, but there are also some delays with these projects as we have stated in the text, so that probably about two, three months delays compared what we disclosed before. But the overall picture is in Russia, and with the investment program is as it has been disclosed before. On Page 29, we can make the summary about Fortum’s position, and we can certainly say that we feel that this is very strong position. We have now developed our strategy, we know what we are aiming for, especially during the, I would say, coming five years. We have also few for the next coming 10 years, and as you are already stated, our aim is to keep our balance sheet strong and always we will remember that we are a listed company, we are working for our shareholders. Solid performance continue and that is the way how we are aiming to continue, and of course, very much this is based on our flexible cost efficiency, very competitive climate-benign generation portfolio. Russian power reform is proceeding, and also as said, we see that the Nordic power demand is recovering further, and as before, Fortum has very, very strong financial position and also good liquidity. So, this was the presentation, and now, we are together with Juha, ready for your questions. Please go ahead.
Operator: (Operator instructions) Our first question for today will be from Benjamin Leyre from Exane BNP. Please go ahead.
Benjamin Leyre – Exane BNP: Thank you very much, and good afternoon. Two questions, please. First one, can you provide a bit more details on the SCA investigation in the Fortum Varme activities regarding timing of new views and potential impact? And second question, can you also provide us with your first stake on your potential changes coming in Sweden after the new government has taken power, even if it looks more like a normal sweet transition? Thank you.
Juha Laaksonen: As we have mentioned, the Sweden Competition Authority has been investigating, and in general, the district heating price setting in Sweden, as you know, district heating is not or heating – district heating is not regulated, but of course, it's a natural monopoly, district heating, because one city has only one pipeline network. The case is not closed, and of course, that’s why we can’t give final verdict on this one, but we are relatively let’s say comfortable at this stage that the outcome is quite okay for us. But it’s not officially closed case yet. And I think this is as much as we can say. Then Tapio will comment on the political.
Tapio Kuula: Yes, of course, the political situation is difficult for us to comment, but probably the summary about that is that, as you know that in Sweden, really the same government is continuing and that is also the reason why we don’t see that, that would, the new government would make big changes compared to the last one.
Benjamin Leyre – Exane BNP: Okay, thank you very much.
Operator: Ladies and gentlemen, our next question will be from Ingo Becker from Kepler Capital Markets. Please go ahead.
Ingo Becker – Kepler Capital Markets: Yes, thank you. Good afternoon. I had two questions. The first, a bit unrelated, yet to your convention on Russia, you recently said that you should be making 500 million comparable operating profit in Russia by 2015. I think you based this on a 12% WACC assumption. Can I ask or can you give us a breakdown of this figure, how much of this amount should come, in your view, from old assets, i.e. from existing capacities and how much from new? Or maybe at least an indication of less than 50% old or more than 50% old. My second question would be on Markets. You said that you are taking measures to remove the – some of the, as it appears, structural burdens on this division. It sounds a bit like you might be moving some of these accounts maybe over to the power generation division, where, apparently, it won't matter that much, given the size of the two divisions, or are you taking measures that would entirely remove from the Group the burdens that you spoke about in Markets? Thank you.
Tapio Kuula: Okay, if I start, I will start with Russia. That is correct that we made some kind of example about calculation that if we have invested 4 billion plus 2015, and the WACC is exactly as you said, around 12%. That means that we are expecting about EUR500 million EBIT, but our intention is not to break that down, but we can say that significant part of that will come from the new investment program, and as you know, also major part of that is based on the capacity supply agreement and new capacity tariff, which we have described also previously. Juha can probably continue with market restructuring, but really the main target there is to restructure our business-to-business electricity sales and we are focusing to the consumer sector.
Juha Laaksonen: Just a couple of comments here, as we say in our results publication, about 70% of the volume have been the business customer. I mean, we have no responsibility to supply etcetera. It’s a voluntary business of course, but basically we buy from Nord Pool and sell to business customers, and the bigger the customer, the better chances of he or she have to take her own volumes, or his own volumes from Nord Pool. So, it’s a very low margin business, and we have been developing quite complex products in this context. And now, what we are doing, we are going away gradually when the contract expires from this, maybe more complex operation. We will continue quite simple buying for the customers and then selling to customers operation. That will be in the Trading and Industrial Intelligence unit, and actually will be booked in the other operations. If there are any results, this would be first positive results of course from that one, but that’s the way it’s going to be restructured in the future. So there will be a gradual decrease of volume, and then this would go away from the electricity division, and after that, it would be a consumer business with some small business customers still there.
Ingo Becker – Kepler Capital Markets: All right. Thank you.
Operator: Ladies and gentlemen, our next question will be from Lueder Schumacher from UniCredit. Please go ahead.
Lueder Schumacher – UniCredit: Good afternoon. Three questions from me. The first one is on Russia. You say that currently capacity payments account for about one-third of sales. Can you give us any idea what proportion it will be by 2014 after the rollout of your new capacity? Second question is on Forsmark 2. You've been saying that it's been running at significantly reduced capacity. Could you give us an idea what this level is, and also perhaps remind us of the costs that are still to come for the total upgrades from Oskarshamn 3 and 2. And lastly, you also mentioned on the heat business in Finland that there are some changes from fuel taxation coming into effect from 2011. What kind of impact do you expect to come from that?
Tapio Kuula: Okay. If I start with the Russia and rollout capacity tariffs, as we have stated, really the capacity tariff for new capacity is significantly higher than for existing capacity. We made some example of calculations during the Capital Markets Day as well as during the summer and last spring. We can probably say that capacity prices for new capacity should be roughly four times higher than for old capacity. This is of course very rough estimates. Concerning both Swedish nuclear power plant and the capacities and expected costs, we haven’t published those costs. We have published in our Capital Markets Day material quite exact timing for those projects, and then I don’t have with me now the capacity, which they have been running, but I would say that from Nord Pool site, either you can find, or we are ready to send you the figures.
Juha Laaksonen: I don’t neither have the numbers now, so it’s better not to quote something that is not certain.
Tapio Kuula: Yes. And then, what was the last one?
Juha Laaksonen: The potential implications of the fuel tax change in Finland to the business.
Tapio Kuula: Yes. And even the current version, of course, we will have implications and we will increase the costs, especially to natural gas, but it’s clearly less significant than it used to be, or the first proposal used to be. And of course, our intention is that this kind of tax change state will go to heat prices. So, our intention or view is that they shouldn’t really have profit and loss consequences, certainly not significant ones.
Juha Laaksonen: Yes, we have one, basically one CHP plant using natural gas, the new Suomenoja plant. And as we say in the report itself, the increase in gas tax would lead to increase in Fortum's Finnish district heat prices, so it could be above, too.
Lueder Schumacher – UniCredit: Okay. Can I just come back to your answer to the first question on Russia? Yes, you did mention a few times that the capacity payments should rise three to fourfold. But in terms of the overall proportion of your turnover, they account for, would you expect them to be more than 50%, 60%, or should it still be one-third? Are you assuming that the spreads and everything else you get for your output remains the same or will the increase capacity payment will come at the expense of other areas?
Tapio Kuula: The energy component will be the same for new capacity and for old capacity. So, that means that relative part capacity prices will increase. But we haven't disclosed how much that will, but you can probably do some calculations yourself.
Juha Laaksonen: Then you have to take a stance on what will be the energy components.
Tapio Kuula: Yes.
Juha Laaksonen: We don’t do the forecast publicly.
Lueder Schumacher – UniCredit: Okay. Thank you.
Operator: Ladies and gentlemen, our next question will be from Martin Young from Nomura. Please go ahead.
Martin Young – Nomura: Yes, good afternoon to everybody. I have just got two questions. The first relates to what we could describe, I guess, as the one-off costs that you've been taking in the generation business in 2010 for a number of reasons. Clearly, you've elaborated on those reasons in the press release. But could you be specific as around the amount of cost that could be considered as a one-off in 2010? And then, secondly, looking at your slide on page 26, where you're kind enough to show the development of forward prices for each and every year out to 2015. Now, there's not a lot of difference between the current level of forward for 2015, and what we see in the year 2011, which, given what appears to be a rising cost base for a number of reasons, suggests that X any increases in the nuclear capacity that you've talked about, your ability to grow the generation business isn't actually that great. So, I wondered what your views were on the potential growth opportunities from your Nordic generation business? Thank you.
Juha Laaksonen: Yes, I understand, Martin, your question. I don't have a number for the – what will be one-time costs. Certainly, some of the costs are, you can say are, if not millions but tens of millions. But what is one-time and what is continuing, then I won't make that – I can't make that distinction, unfortunately. But because if you have, in the same project you have yearly overhaul, an upgrade, and everything is tied together, it's very difficult to put together and what is their – most of this cost should be one-time, but of course, it's quite natural, when you do an upgrade, you have a little bit more of capital costs, which could be capitalized, and then the depreciation grows, and that will be in our cost base even though it's spread over four years. So, there will be a slight increase because of this upgrade also in the cost base, and that's quite natural.
Tapio Kuula: Yes, question about growth opportunities in our power generation business and margin. Of course, taking into account, especially those Swedish nuclear power upgrades, which, obviously, are clearly cheaper than new, to construct new nuclear. I would say that this 300 megawatt should give us upside in that respect. But overall, as we stated in the Capital Markets Day, of course, the growth opportunities in Nordic area, especially with Greenfield projects, they are limited. And in that sense, I think that it's better to have realistic.
Juha Laaksonen: Okay, if I may comment. Of course, this Nord Pool forwards curve is pretty condensed in a way that they are all approximately around EUR45 with naturally a bit higher the year '15, and typically describe the – also the nearest future, and whether this actually will end up with this level, that's another question. But it's a typical sign that the forwards move together in different years if you don't have any explicit reasons to put in the Nordic region.
Tapio Kuula: Yes, and of course, if you then compare the forward prices with the history, you can see that in the history, there has been big, big volatility. Nobody knows whether there will be that kind of volatility in the future. If there will be, of course, we try to use that for our hedging purposes then. But time will show us.
Operator: (Operator instructions) We are now moving to our next question from Christopher Kuplent from Merrill Lynch. Please go ahead.
Christopher Kuplent – Merrill Lynch: Thank you, good afternoon. And just two questions. First of all, wanted to ask you about the third quarter power production volumes from hydro in the Nordic region, they seem to be, well, pretty much out of touch with the chart you've been showing regarding hydro reservoir levels. So, what are your secrets? And do you expect this very decent and solid development to continue in the fourth quarter? And second question, Juha, I wanted to come back to you, to your comments regarding CapEx earlier. You said you never quite know whether some of these projects will actually fall into the fourth quarter this year or the first quarter next year. Does that mean if you achieve less than 1.4 billion this year that it will correspondingly be more than 1.6 billion next year?
Juha Laaksonen: If I take that first, and I don’t think I said – we never know a project falls when but when you have a big load like 700 million planned for the one quarter, then you might have some booked next year. But of course, we will evaluate next year's spending also in the same context. So, it's not an automatic one. We haven't locked in next year's spending. So, it's not an – even though some of that would in the books fall to the next year, it's not same thing as then the next year would increase as much as the transfer from year to year is.
Christopher Kuplent – Merrill Lynch: Okay.
Juha Laaksonen: And of course, we haven't given the kind of platform the one – that's our best estimate, but knowing from experience that some of these might, depending on how the supplier is in, etcetera, et cetera, and what is paid and what is not paid. So, you might have that, but it's not an automatic transfer that, okay, then next year, it will be high. But next year, we have pressure on the CapEx, as we said, probably 1.6 billion.
Tapio Kuula: Yes, the question about hydro production volumes, it's true that our hydro production hasn't been that much down. Actually, it was a bit up during the third quarter. During whole nine months period, it's a bit down. And also, of course, one can't predict exactly what will happen. But as I said, that deficit in Nordic area is about 70 terawatt hours, that is mainly in Norway. And that is public information, because you can see the reservoir levels on Nordic level, but you can see those also in different countries.
Juha Laaksonen: In the Nordic Pool site, for instance.
Tapio Kuula: Yes.
Juha Laaksonen: So, that means – because we operate in Finland and Sweden and not in Norway, so Finland and Sweden are a bit better off.
Tapio Kuula: Yes.
Juha Laaksonen: Better off in the reservoir situation, even though the reservoirs are much smaller than in Norway.
Christopher Kuplent – Merrill Lynch: Okay, thank you.
Operator: As we have no further questions at this time, I would like to hand the conference back over to you gentlemen for additional or closing remarks.
Tapio Kuula: Okay, we really thank you for your interest and for your attention. And we hope that we will meet again, actually in the beginning of February, 2nd February, when we are closing our books for this year. So, let's have a nice and cold, dry winter before that. Thank you. We will hear and be in touch.